Operator: Good afternoon, and welcome to the Mondelez International 2025 Third Quarter Earnings question-and-answer session. [Operator Instructions] On today's call are Dirk Van de Put, Chairman and CEO; Luca Zaramella, CFO; and Shep Dunlap, SVP of Investor Relations. Earlier this afternoon, the company posted a press release and prepared remarks, both of which are available on its website. During this call, the company will make forward-looking statements about performance. These statements are based on how the company sees things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in the company's 10-K, 10-Q and 8-K filings for more details on forward-looking statements. As the company discusses results today, unless noted as reported, it will be referencing non-GAAP financial measures, which adjust for certain items included in the company's GAAP results. In addition, the company provides year-over-year growth on a constant currency basis unless otherwise noted. You can find the comparable GAAP measures and GAAP to non-GAAP reconciliations within the company's earnings release and at the back of the slide presentation.
Operator: We will now move to our first question. Our first question comes from the line of Andrew Lazar with Barclays.
Andrew Lazar: Dirk, maybe to start off, I was hoping you could talk a bit more in depth about Europe, how you're seeing things as you sort of close the year and into next, particularly when it comes to pricing that's been landed and movements sort of that you deem that you need to make, as you mentioned, price gap management in certain European markets.
Dirk Van de Put: Yes, Andrew. So I would say, if I start with the consumer in Europe, I would say the consumer confidence remains, in general, stable, unchanged versus the last quarter. If I look at our biscuits, cakes and pastries and meals business, they're all performing well, where we have share growth and volume/mix growth. And if I look at it from an overall euro perspective, I would say the category is performing generally in line -- the chocolate categories in general, in line with expectations. We've seen the cocoa situation. As you know, we had to do quite substantial price increases in the order of about 30%. And so broadly speaking, I would say, the chocolate business is fine, but we are clearly seeing a couple of pockets of pressure that we need to address. These are caused sometimes by competitive situations where our competitors did not increase their pricing as much as we did, largely because they are private companies. And the other thing I would say is that in certain markets, the retailers also suddenly took more margin than they have historically done. So we're fixing these problems. I wouldn't say it's a structural issue, but we need to be -- deal with, and that has caused a difference in what we were expecting for this quarter in Europe. I would also mention that as you look at the European situation, there was a heatwave in July, which has affected our volumes, plus we have done some significant downsizing also, which affects our volumes. The two markets where we have these situations are the U.K. and Germany. We are starting to see a reaction to the repositioning of the price points in certain areas of the portfolio that we have done. And so we are seeing the volume and the share improve as a consequence of that. We've also seen that competition has started to price recently. So that also will help the situation going forward. Overall, I would say, as I see how the pricing is landing in Europe, elasticity is around 0.7, 0.8, it's higher than we would have expected where -- our thinking was more like 0.4, 0.5. And so we are taking on top of what I already explained to a number of other actions in the sense that we are innovating with new flavors and new formats. We are investing more in A&C. We're driving the seasonals very hard. We're working on promo effectiveness because that's also not playing out sometimes the way we would have expected. And largely our main focus is on hitting the right price points where in certain cases, like on our 300-gram range in chocolate, we passed 2 key price points, and that was probably a little bit more than the consumer can accept at the moment. We are, of course, accompanying that with a lot of productivity and cost savings. But overall, I would say, seen the fact that this was the heaviest cocoa cost that we would have in the year, from here going forward, we expect a significant improvement. We expect to see a significant improvement in Europe. I hope that helps, Andrew.
Andrew Lazar: Yes, really thorough. Really appreciate that. And I guess, lastly, with respect to guidance, maybe you could talk briefly about the implied Q4 guidance change, just as I would assume, cocoa is largely been locked in at this point. And then what's the key reason behind, I guess, the cut? And then as it relates really to '26, you make reference to being an algorithm and EPS. I was hoping you could add a bit more color on your confidence around this. And I guess, more importantly, the sort of the key puts and takes that we should think about when thinking about organic sales growth next year in light of the planned investments that you're making and some of the elasticity concerns?
Luca Zaramella: Thank you, Andrew. I will start by saying that on the '25 guidance, we had a series of impacts that clearly we weren't anticipating at the time of us giving guidance for 2025. The three main ones are the tariffs and related uncertainty affecting the overall consumer confidence. The second one is the material destocking that happened in the U.S. due to retailers lowering their working capital. And the third one clearly was the unprecedented heatwave in Europe. Those elements lowered already, when we talked to you for Q2, our flexibility for the year. With incremental softening of the U.S. biscuit market at the end of Q3, and we saw the market declining in volume terms a little bit more than the previous quarters, and the higher chocolate elasticities in Europe. Clearly, that caused a volume/mix impact that at this point in time, we don't want to offset by cutting costs and potential growth into next year. I think importantly, in the prepared remarks, we give you a sense of all the actions we are taking to improve the volume trend that we see specifically in the U.S. and in Europe. And importantly, we have taken additional pricing in the U.S. We have confidence in all the plants that we are putting in place around seasonals. I think we call out clear elements of growth in the U.S. like Tate's, the Ventures and Give & Go. And I think when you really look at what the new guidance means in terms of implied Q4, you see a step-up in the top line. 4% is year-to-date organic net revenue growth, we are guiding you at more than 4%. And importantly, last year, below the line, we had an $0.08 impact in the tax line that is nonrecurring this year. And so the implied EPS growth will translate in an over delivery compared to last year of the EBIT that will be quite good in terms of growth. Obviously, as far as '26 goes, it is a little bit premature to put all the pieces together for you at this point in time. We are literally going through the plans. And you might imagine that the big question we are asking ourselves is, what cocoa level are we going to have into next year? As I mentioned a few times, we are well protected and covered. But reality is we have put in place a series of coverage strategies that would allow us to participate to cocoa further potential declines. And so we need to understand a little bit better, and we will have a better sense of what the real cocoa impact is going to be for next year. It's certainly going to be positive even if cocoa is trading at a level that is quite higher compared to historical norms. We feel quite good about the plans we have been reviewing with all the business units in terms of chocolate. We are clearly optimizing GP dollars into next year, in line with our guidelines and how we want to manage the business. The commercial approach to chocolate is quite good. We are doubling down on things that are working really well for us. And obviously, we want to build share, drive consumer value and protecting penetration. And I don't have to tell you again that we have big opportunities in all emerging markets. I mean, adjacencies like cakes and pastries, snack bar and premium. So cocoa will be deflationary in '26, and we wanted you to hear that our goal is clear in terms of EPS growth for next year. And so we are really targeting a high single-digit EPS growth for 2026, even after the material investments that we're going to put into the business to really protect the long-term growth of our categories.
Operator: We'll move next to Peter Galbo with Bank of America.
Peter Galbo: Dirk, I was hoping maybe you could give us a similar walk around the U.S. in terms of the path forward maybe to getting back to growth. I know you gave kind of a very detailed answer around Europe, but would appreciate kind of a similar level of detail on the U.S., please.
Dirk Van de Put: Yes, yes. Well, so as Luca already said, we saw the category slowing down more in the last quarter versus what we saw in the first half, which is obviously not good. If you look at it, the volume was down 4% versus 2.8% average year-to-date. That is driven obviously by a consumer that is very concerned in general about the economy, frustrated with the pricing they're seeing. And we're seeing the same behavior that we've been seeing before in the sense that they are really seeking for value, that means different things for the lower-income consumers, that means going to smaller packs at the right price points. For the higher income consumer that usually goes for bigger packs and buying when they're on promotion. We see that the basket size of the consumer is really not increasing over the last 3 years. And as you can imagine, as prices have gone up, they're being more squeezed on what they can buy within that basket. And they are tending to focus on what are the essentials. And as a consequence, snacking categories are not that essential for them, and we're seeing that in our volumes. And on top of that, promos are not necessarily delivering the expected ROI. What else are they doing? They're shifting channels and format. So we see a big shift from food and mass to value, club and online. We see more multipacks being sold. There's also some good news in the sense that some of the premium segments are doing well, like cakes for us is doing well and some of the better-for-you offerings, particularly protein related, that is for us a Builder's Bar under the Clif range, or a Perfect bar. They're doing well. We have Hu, which is our vegan chocolate is doing well. So we can see that there are areas that are connecting with the consumer for instance, also a Give & Go is doing quite well. The main concern is the U.S. biscuits category. And of course, the government shop shutdown going forward will not help with the confidence of the consumer. If I look at the OI, the reason why the OI is negative in North America is largely driven also by cocoa. It might not immediately be clear, but Oreo or chips or Tate's also have quite a bit of chocolate in them. And so they are affected by them. At the moment, it's not easy to price in the U.S. So what are we doing about all this is the big question, of course. I would say in the first place, the one thing that's important to realize is that our presence in those channels that are benefiting, Club, Value and E-commerce is good, but we don't have the same market share as we have in food and mass. So we've been working very hard to increase our presence there over the past more than one year. And every quarter, our market share in those channels is increasing, and we will continue to do so. That means we have to adapt our PPA. We have to increase the number of displays we have in these channels, and we need to do some route-to-market investments. The other channel that we are pushing very hard is on the go. And on the go, you can reach the consumer on the go with multipacks. If you think about a big multipack, and mom has to put a snack in the lunch basket, if you buy a multipack, that can cover several days or more than a week. And so we see a big opportunity in multipacks. Of course, we are working very hard on C stores because that's the other big area where on the go is happening. Overall, price points are critical, so we're doing a lot of RGM work on hitting the right price points. And that means really PPA at both ends of the spectrum. On one hand, the lower price. And so we've been talking about in previous calls that we need to get really to that $3 price point with some of our packs and then also the big pack as I was talking about before. The other thing, as I said, better for you, particularly protein is doing well. So we're driving our protein range quite hard. We're seeing 20%-plus growth there in Perfect bar and in Builders. So that is something that we will continue to double down on. And then as it relates to premium, particularly brands like Tate's, belVita and Hu are the other ones that we are going to double down on. As it relates to health and wellness, we also see a little bit of movement in overall health and wellness. We are working on expanding the Zero Oreo range and also the gluten-free Oreo and Tate's range. So maybe the last thing I would mention there on how we are trying to get back to growth is that we are studying very carefully how our promotions are working, and we've seen that we have to shift the way we do certain promotions. We need a lot more activation, not just a price decrease, but activation featuring special events, things like that. So those -- all those activities combined at this stage, make us believe that we can get to positive growth next year in U.S.
Peter Galbo: Great. And Luca, maybe just on the prior question, maybe a bit more directly, you seem to have the visibility on, on-algorithm EPS growth for next year. I mean, should we be expecting that on top line, you'd have some visibility to algorithm top line, even if it's at the low end, just I know it's a bit more of a direct question, but would be helpful just from a modeling standpoint.
Luca Zaramella: As I said, Peter, we need to put together our thinking at this point in time on what type of cocoa levels we are going to have into 2026. As I mentioned, we are well protected, but should cocoa go even lower, we will take advantage of that. I think the way you have to think about the top line is in three key components. One, it is Europe, where clearly, chocolate pricing might be deflationary. But as a consequence, the elasticity that we saw on the way up, should happen on the way down as well. And importantly, I think we will be seeing volume growth in the chocolate business for 2026 in Europe. The other component is developing markets where I think you're going to see continuous growth, volume and price-driven at this point in time. And the third component is really the U.S. where we are not projecting an improvement of the market situation, but where we will have material benefits coming out of channel expansion, us investing more in our brands and importantly, going after things that are really working well for us and doubling down on those. I think in the prepared remarks, for instance, we mentioned Oreo with Reese's. So it's really impossible for us at this point in time to give you exactly the range of top line growth of 2026. But rest assured that we are driving for volume growth in chocolate in Europe, we are going to restore top line and bottom line in the U.S. And third, emerging markets will continue growing for us.
Operator: We'll move next to David Palmer with Evercore ISI.
David Palmer: I just want to circle back to Europe. You mentioned the price elasticity up to 0.7 or so. And you also talked about there's some price gap issues and some competitors that have lagged on pricing. I'm curious how you're thinking about the outlook for price elasticity going forward, maybe some of the gives and takes since we don't deal with that market quite as much. One scenario would be that you're making adjustments right now. And that price elasticity could come back down. And then you mentioned the historically high prices, and we've seen categories where there's a little bit of fatigue after a series of prices and that price elasticity can continue to be stubborn and rising. So I wanted to get your sense on that. And I have a quick follow-up.
Dirk Van de Put: Yes. Well, the type of price increases we had to implement our kind of unprecedented if you think about it. We are players that are largely in the tablet market. We are also in the other segments of chocolate, which is gifting or count lines. But largely tablet players, which has the biggest content of cocoa. So as a consequence, we had to do, as I said before, about a 30% price increase. And historically, the elasticity has been around 0.4, 0.5. It is higher, as I said, 0.7, 0.8, but that's not yet dramatic in the scheme of things, I would say, that's pretty good as long as you're below 1, I don't think there's many categories that would have such a limited price elasticity. But the main thing is, if you think about a 30% price increase on a 300-gram chocolate bar, for instance, you start to really get into quite high euros per bar. And I think as an example, that one, that's the one where we believe that we need to do something going forward. That doesn't necessarily mean elasticity needs to improve. What we need to do is get that bar to a price point, which is much more acceptable for the consumer. Short term, we can do that by reducing the price. Long term, we have to see if we reduce it to for instance, a 250-gram bar or something like that. So it is really adapting to very specific circumstances where we knew that we were taking a risk by passing certain price points, and in some cases, that worked quite well. In other cases, it didn't turn out so well. So that's one movement we are doing right now. That movement is helped a little bit by some of the more benign cocoa environment. I wouldn't say cocoa is getting extremely cheap, but it's still much higher than it used to be, but at least it's come down from the high that we saw during this year. The other one is probably that we need to adapt certain formats and look at where our competition is placed and make sure that we are in a much more competitive level. That would be the second big movement that we need to make. So these two movements, we believe, will solve some of the issues that we're seeing. And again, I want to emphasize that, yes, things are different than we expected, but it's not that they're often a major way of what we would have expected to happen in Europe, but we do need to make a number of adjustments of which I just gave you two.
David Palmer: And when you look at your emerging markets, do you -- I don't want to make a big deal of the type of price elasticities that it looked like in the third quarter, they were still not bad. Your volume was down, the price elasticity would be sub-0.5, even if you take that quarter in isolation. But are you seeing certain markets where you're seeing a little bit of fatigue or maybe price gap issues? Or is that playing out just as you would think there, and I'll pass it on.
Dirk Van de Put: Yes. I would say -- in the emerging markets, I would say, it's playing out largely the way that we would expect. The first thing I would say is there is more downsizing that has an effect on our volume. So if you think about it, our emerging markets, volume was down 4.7%. And first of all, Argentina, where everything has been going on. I probably assume that you're aware of that. So there, we saw hyperinflation, very negative macros and so our volumes were significantly affected in the quarter in Argentina. I guess with the recent elections that will start to improve going forward. And then the other big market for us is India, where we decided not to increase our prices that much, but to downsize quite a bit. So if you take out those two, the 4.7% becomes a 3% volume decline. So there's a number of effects in there that are driven by downsizing or the economy in two markets. If I then go a little bit around, I would say, the one market that we are experiencing more pressure is China, where we had low single-digit growth, a negative low single-digit growth in Q3, which is a new thing for us. Year-to-date, we are positive in our growth. We do see some short-term pressure. But overall, we believe that things will be okay going forward. And as you know, we still have a big distribution runway. It's clear that the consumer there is still not in the same confidence and probably still at a low for the last 20 years, and we're starting to see some signs of that. But we do believe gradually the consumer confidence will come back. India, I mentioned, India in fact is doing quite well in the movement that we had to make. So performing better than we expected, mid-single-digit growth in Q3, low single digit year-to-date. And then if I go to Brazil, double-digit growth in Q3, excellent execution in biscuits, chocolate and gum and candy. And then Mexico, also improving. I wouldn't say that the consumer in Mexico is in a good place. Clearly, very concerned about the economy and overall job opportunities, but our business is recuperating from some of the issues that we had before. We're seeing good mid-single-digit growth in Q3. So I would say, overall, we feel pretty good. Maybe looking at the volume, you might say that there is -- or it might look like there's a big elasticity effect, but that's really not the case from our perspective. And on our four big markets, we feel quite good at the moment.
Operator: We'll take our next question from Megan Clapp with Morgan Stanley.
Megan Christine Alexander: Luca, maybe just a quick follow-up. I think in one of your answers you said the guide does imply a step-up in the fourth quarter from an organic sales perspective. It sounds like that's mostly driven by Europe. I guess, is that fair? And then just the second part of the question. I think you had anticipated some rebound in North America just as the pricing flowed through. So can you just help us understand a little bit more about what you're expecting for North America in the fourth quarter, just given scanner data has been a little bit softer recently.
Luca Zaramella: Thank you, Megan. Yes, we expect a bit of a rebound in Europe. Definitely, there is going to be a big activation around Christmas, and so the team is full steam ahead in terms of delivering the season and -- so you will see a little bit of a volume step-up in Europe, and that's one of the drivers. I think you see emerging markets despite the numbers that on the face of it are in terms of volume/mix, maybe a little bit lower than you would have expected. As Dirk mentioned, there is a big impact of Argentina, but the chocolate elasticity in emerging markets is just 0.3x as of Q3. And we expect that not to improve, but not worsen either in Q4. And importantly, in places like Mexico, China, India, Brazil, et cetera, I think the top line will continue to be good. So yes, there will be a better top line going into Q4. In the U.S., we are projecting a market that is in line with the minus 4% volume wise that we have been talking. But as we said, we are fine-tuning our pricing strategies and our promos, and so you will see a little bit of more pricing kicking in, and that will have a positive impact on both the top and the bottom line. And so that's where we are at this point in time.
Megan Christine Alexander: Okay. Great. And then maybe just as a follow-up. You talked about in the prepared remarks the new multiyear North America supply chain program. Maybe you can just spend a little bit of time helping us understand what's different about this from prior productivity programs and any early targets you can share today?
Luca Zaramella: Yes, it is a plan that we have been reviewing with the team for the last, I would say, 6 to 9 months. It is leveraging the competitive advantages that we have in terms of supply chain already. I think if you look at our profitability in the U.S. in biscuits and compare it to other players, it is obvious that we have quite a few good things to -- that help us delivering good profitability of the business. The new program will be intended to address mostly cost in some of the U.S. bakeries. I think we still have opportunities in terms of putting down lines that are more automated and address, a, some capacity constraints that we have, but importantly, our overall cost structure, and I think it will be a meaningful impact, again, that you will start seeing most likely as of 2027. And the second big element that we are addressing at this point in time is our DSD system. We stand by it, it is a competitive advantage. And so we're not talking about the front-face delivery of our great brands to retailers, but we are rather talking about the logistics system that is in the back of all of that. And having potentially fewer distribution centers and branches and automating those will result, a, in much better cost from a logistics standpoint, but second, in a much better service level and inventory for retailers. And so let's stay tuned. We'll talk a little bit more about it in the next few months. And all of this will be done within the envelope of the cash flow goals that we have.
Operator: We'll move next to Tom Palmer with JPMorgan.
Thomas Palmer: You noted the planned reinvestment for 2026 just when kind of talking about earnings. SG&A has been running down quite a bit this year. I guess any framing of how much of the reduction we've seen this year is more persistent cost reductions versus items that kind of come back next year?
Luca Zaramella: So in terms of SG&A, I would say there are three key components of it. The #1 is clearly the working media, and working media is a little bit in decline compared to last year, but we didn't touch structurally the amount of spending investments we have been making in that P&L line in 2025. Going forward, you will see a big step-up of that line into 2026, and we firmly believe that the virtuous cycle that has delivered great results for us will have to be put back in place in 2026, particularly as there is cocoa coming down and there is a cost favorability due to that. The second element is non-working media that has been managed in a declining mode for 2025 and that will continue into 2026. Obviously, we'll have to make some specific investments, but we expect the non-working media line to be kept in control. And the third element is the overhead. This year, specifically, there is a positive impact due to our incentive plan that is not as high as we had it last year. But importantly, as we go forward, I think the team is working on initiatives that will deliver further SG&A savings. And so we expect that line to be in level to 2025 in 2026, with the exception, obviously, of the incentive that will be planned at 100% for 2026.
Thomas Palmer: Okay. And I apologize for asking again on Europe. But I do just want to clarify on elasticity because I think there's kind of two pieces you discussed. This 0.7 to 0.8, that's effectively like non-seasonal products where you're seeing that elasticity and the belief is that will not change for the quarter. But as you shift more to seasonal, you'll effectively see better volume trends because those items will have less elasticity?
Dirk Van de Put: Yes. That's basically the correct assumption in the sense that the 0.7, 0.8, unless we start to do major movements, and what I said is we are adapting in certain areas, that means it's not an across the board sort of adjustment of our pricing. It's only in those specific cases where we think we need to bring it back to the right price point. And so the 0.7, 0.8 roughly will be maintained on the normal range. And just historically, we noticed that the seasonal range, the consumer is not that clear on what the right price point is and also is inclined to pay a little bit more. So the seasonal range will have less elasticity.
Operator: We will take our next question from Chris Carey with Wells Fargo Securities.
Christopher Carey: So I wanted to ask about North America strategy. Some of your competitors in North America or peers maybe better said, have taken the approach of investing into value, into pricing, so as to establish a foundation from which to grow volume longer term and have effectively accepted the consequences over a 12-month time horizon. I think you certainly dabbled with this strategy in the front half of the year, and it impacted your profitability and there's been some shift towards, I suppose, protecting the profit pool. Can you just talk about your -- I suppose, level of confidence is the right way to put this, that a strategy that's a bit more focused on value and protecting the profit pool is the right strategy as we exit this cycle over the next 6 to 12 months. And maybe just if you could highlight a bit more whether you don't see these as mutually exclusive items, you can both protect the profit pool with pricing, but also offer value with some of the innovations and pack changes. So a little bit of detail on the strategy evolution in North America regarding pricing and volume.
Dirk Van de Put: Yes. Well, I would start with saying it's a particular year for us in the sense that you have on one hand, the whole chocolate, cocoa movement that we have to deal with. And on top of that, you've got North America, particularly U.S. market that is slower than we've seen in quite a while. And so at a certain stage, we need to, yes, protect our overall profit pool, and we cannot try to solve for all problems at the same time. And so that would be one reflection that we had. The other one, I would say, as we started off the year, and we had a certain promotional strategy, what we noticed in North America is that, that promotional strategy was not giving us the volume effect that we were hoping for. And as a consequence, that started to affect our margins more than what we have thought or our profit pool, if you want. And so the shift that you've seen with now some price increases and some changes in the way we promote are really not driven necessarily by protecting the profit pool but are really driven by seeing how can we optimize our situation. And so going forward, as you look into next year, on one hand, as we explained, we think that the chocolate situation will significantly improve and that will allow us also to invest more into North America. If we would use that extra investment for a value play at the moment, I'm not convinced that, that is the best solution. As I said before, consumers don't seem to necessarily just react to value. They seem to be much more in a situation where they say, "Well, I can buy in my basket today what I can afford. I'm not planning to increase my spending. Within that, I need to cover my essentials. And yes, sometimes I will buy my biscuits, sometimes I won't." But even if the biscuits are a very cheap price, it doesn't necessarily mean that they will buy them. So our experience with the value strategy hasn't been that great. What we do, do is in our PPA strategy, we have launched a range of products that are at lower price points, you get less product for it, but at least it's available at the $3 or the $4 price point where about 1.5 years ago, 70% of our range or so was above the $4 price point. And we've significantly moved that in a way, that is a value strategy, but those products come still at very good margins. So that's the way I see the movements that we are going to do. And I hope this clarifies it a little bit.
Christopher Carey: Yes. Helpful. One quick follow-up on the investment a little bit around this SG&A buckets. Is there any pull forward of investment that you had planned for 2026 coming into Q4 as you see some opportunities to lean in to achieve some of those outcomes that you're looking for? And then just as it pertains to this 2026 earnings outlook, does that embed a full spending, a replenishment of spending that you would expect to be sufficient so as not to need to do that again going into 2027?
Luca Zaramella: Look, I think the -- at this point in time, the Q4 plans for A&C investments are locked in. So there is -- the guidance we gave you is in line with the level of spending. And clearly, we allocated money in the places where we saw opportunities. And as I said, we pulled back, particularly on nonworking media. But in general, pricing a lot, and they are contemplated in guidance. The virtuous model of this company is continuous investments in our brands, in our franchises and execution at point of sales and activation at point of sales. For instance, if you take some of the plans we have for next year, particularly around our chocolate with Biscoff or the fact that we are launching Biscoff in India. I think that will be meaningful spending and incremental cost due to activation at point of sales. I don't think it's possible to assume in a growth company like the one we want to be that we have done in 2026 with the investment. If you look at the amount of working media we have put into the system in the last few years, it is quite meaningful. But I think that is one of the reasons why we see our categories doing well. We have seen the company delivering good top line, volume-driven and price driven in a balanced way, and we want to continue that algorithm. I think importantly, you will see us in the years to come to go more deliberately after key incremental spaces like snack bars and cakes and pastries. We have just launched 7 Days in Brazil, we want to make sure there is efficiency of spending behind all these incremental initiatives. And so we don't want to play necessarily on a model that is launched, see how it does and then invest A&C, we want to go all in, both in terms of execution at point of sales and support to our brands.
Operator: And this does conclude our question-and-answer session. I would now like to hand it back to Dirk Van de Put for any additional or closing remarks.
Dirk Van de Put: Well, thank you for attending our Q3 earnings call. Obviously, if you have any further questions, our IR team, Shep and Ron, are available to answer anything else that you would like to discuss. Thank you.
Luca Zaramella: Thank you, everybody.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful evening.